Operator: Good morning. My name is Chantelle, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the FuelCell Energy 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there’ll be a question-and-answer session. [Operator Instructions] Thank you. Tom Gelston, you may begin your conference.
Tom Gelston: Thank you, operator. Good morning, everyone, and thank you for joining us on the call today. As a reminder, this call is being recorded. This morning FuelCell Energy released our financial results for the first quarter of fiscal year 2022, and our earnings press release and our quarterly report on Form 10-Q are available in the Investor section of our website at www.fuelcellenergy.com. Consistent with our practice, in addition to this call and our earnings press release, we have posted a slide presentation on our website. This webcast is being recorded and will be available for replay on our website, approximately 2 hours after we conclude the call. Before we begin, please note that some of the information that you will hear or will be provided with today will consist of forward-looking statements with the meaning of the Securities Exchange Act of 1934. Such statements express our expectations, beliefs and intentions regarding the future and include without limitation statements with respect to our anticipated financial results, our plans and expectations regarding the continuing development, commercialization, and financing of our fuel cell technology and our business plans and strategies. Our actual future results could differ materially from those described in or implied by such forward-looking statements because of a number of risks and uncertainties. More information regarding such risks and uncertainties is available in the Safe Harbor statement, in the slide presentation and in our filings with the Securities and Exchange Commission, particularly the risk factor section of our most recently filed annual report on form 10-K and any subsequently filed quarterly reports on Form 10-Q. During the course of this call, we will be discussing certain non-GAAP financial measures and we refer you to our website and to our earnings press release and the appendix of the slide presentation for a reconciliation of those measures to GAAP financial measures. Our earnings press release and a copy of today’s webcast presentation are available on our website at www.fuelcellenergy.com under Investors. For our call today, I’m joined by Jason Few, FuelCell Energy’s President and Chief Executive Officer; and Mike Bishop, our Executive Vice President, Chief Financial Officer and Treasurer. Following our prepared remarks, we will be available to take your questions and be joined by other members of our leadership team. I will now hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom, and good morning, everyone. Thanks for joining us on our call today. I want to start by offering prayers and support to the people of Ukraine who are suffering. While we do not have operations in Ukraine, we are hoping for the restoration of peace in the face of the humanitarian crisis. We also launched a matching gift program in support of the overwhelming interest of the FuelCell Energy team members to support the citizens of Ukraine. In our first quarter, we made continued progress in executing our Powerhouse Business Strategy, including the publication of our first sustainability report, making clear our short-term net zero targets for Scope 1 and 2 emissions to be achieved by 2030 and our longer-term 2050 Scope 3 commitment, reimagining our global brand to better reinforce our agenda to decarbonize power and produce hydrogen; expanding our carbon capture product development in Canada, working with Canada’s Clean Resource Innovation Network, which included Chevron Canada, Shell Canada, Suncor Energy, and Canadian Natural Resources Limited, growing revenue by over 100% year-over-year and working to define our company as a global leader in decarbonizing power and producing hydrogen. Mike and I look forward to providing some insight around these activities and the other first quarter results in the coming slides. But as I always do on these calls, I’d first like to provide a brief overview of the company. As shown on Slide 3, FuelCell Energy achieved annual revenues for fiscal year 2021 of almost $70 million, which came from three revenue categories: service and license, advanced technologies and generation, all of which represent diversified sources of recurring revenue under multi-year contracts. Over the past two fiscal years, we’ve had no revenue from product sales. However, in the first quarter, product sales returned to our revenue mix, as we delivered six replacement modules to service POSCO Energy’s existing installations in South Korea under our recent settlement agreement with POSCO Energy. With the market once again open, to us as a result of the agreement, we are optimistic that we will see revenue from new products sales in South Korea, in addition to sales and replacement modules on a going forward basis. We’re also looking forward to building our sales pipeline in other Asian markets, as well as select countries in Europe, the Middle East, Africa and North America, where we have made it a priority to target product sales. Turning to Slide 4. As a company, we are committed to our purpose of enabling a world empowered by clean energy. We believe that our technology is well positioned, as every industry and every company will be impacted by the transition to net zero. In parallel, organizations must solve for energy security and energy independence, which represents important macro themes for our company. The world will always need reliable 24/7 power, created in an environmentally responsible manner. Therefore, when it comes to what we do, we believe FuelCell Energy is uniquely positioned to assist customers on a safe, secure and practical path to carbon zero. And how we do this is by decarbonizing power and producing hydrogen. We believe we have the only technology that can capture CO2, while producing power and hydrogen; produce hydrogen power and water simultaneously; produce hydrogen in multiple ways, for example, using electricity and water or biogas; FuelCell Energy’s technology provides localized solutions for clean energy that deliver real-time benefits to the communities in which our platforms operate and reduce Scope 1 and 2 emissions. We do this in a manner, which supports high standards of living and economic growth while protecting the environment, minimizing land use when compared to wind and solar projects, avoiding costly transmission build outs, and adapting to new resource challenges. This purpose drives our strategic focus and the work we are passionate about doing. Next, I would like to turn the discussion to business results and corporate development during the quarter summarized on Slide 5. Our quarter was defined by execution against our backlog, including achieving commercial operations of the LIPA Yaphank project, recognition of product revenue through the sale of six modules to a subsidiary of POSCO Energy in South Korea, successfully demonstrating the advancement of our carbon capture capabilities by achieving a technical milestone under our joint development agreement with ExxonMobil Research and Engineering Company and receiving a carbon capture project award from Canada’s Clean Resource Innovation Network. Overall, I’m very pleased with the progress our team has made in advancing our long-term goals, including executing on our existing backlog. Commercial operation commenced in early January on the 7.4 megawatt utility scale, LIPA Yaphank project. The project has been added to our generation portfolio bringing the total megawatts, driving recurring generation revenue to 41.4 megawatts. This is an important step for it to continue to enhance the recurring revenue profile of FuelCell Energy. With respect to the 7.4 megawatt project at the U.S. Navy Submarine Base in Groton, Connecticut, we’re in the process of repairing and upgrading a mechanical component that was not performing according to engineering specifications. Upon completion of the repair, upgrade work and reinstallation of the mechanical components at the project site, we will restart the process of commissioning the project. Let me be clear, this did not meet our expectations for delivery, and I appreciate the efforts and focus of the FuelCell Energy team as they work to put us on a path to achieving commercial operations. Once fully operational, incorporation of this platform into a microgrid is expected to demonstrate the ability of FuelCell Energy’s platform to increase grid stability and resilience, while supporting the U.S. Military’s efforts to fortify base energy security and demonstrate the Navy’s commitment to clean reliable power with microgrid capabilities. The Toyota project at the Port of Long Beach, a 2.3 megawatt trigeneration platform will produce electricity, hydrogen and water, offering a unique set of capabilities from a single platform. Fuel cell’s platform equipment has been built and delivered to the site and civil construction work is underway. When it achieves commercial operation, this power plant will deliver carbon-neutral electricity, green hydrogen and water, enabling Toyota to avoid water consumption in a region experiencing extreme drought conditions, enhances its operations through a more reliable power and advanced both passenger vehicle and Class 8 heavy duty truck hydrogen transportation. Hydrogen has the opportunity to fully repower the transportation sector. Second, having executed a favorable settlement agreement with POSCO Energy and its subsidiary Korean Fuel Cell, we sold and delivered via Ex Works the first six of the initial 12 modules ordered under the settlement agreement to Korea Fuel Cell, resulting in $18 million in realized product revenue in the first fiscal quarter of 2022. We have planned production of the additional eight modules required to be purchased by Korea Fuel Cell under the settlement agreement across the balance of the calendar year. This settlement agreement not only provides FuelCell Energy with the opportunity to sell modules to Korea Fuel Cell for POSCO Energy’s existing customers, but importantly confirms our access to the South Korea and broader Asian markets. My third key message is that we have successfully achieved a significant technical milestone in the development of our carbon capture application under our joint development agreement with ExxonMobil Research and Engineering Company. FuelCell Energy’s unique value proposition for carbon capture is that we believe we are the only carbon capture technology that can capture carbon while producing power and hydrogen at the same time. Other carbon capture technologies are a parasitic load on the power source. In other words, they require a significant amount of power to operate. One of the key focus areas of the JDA with Exxon has been to increase the power the sales can produce while concentrating in capturing carbon dioxide. This is important because the more power we can produce while capturing carbon, the more revenue can be generated through either the sale of electricity or avoiding the cost of purchasing electricity from other sources, thus lowering the cost of capture. We believe that achievement of the milestone is an indication that the JDA has yielded cell improvements that may enhance the economics of carbon capture with our carbonate platform. Fourth. We are a clean technology energy company. But we are also a responsible corporate citizen; wholly committed to protecting the environment; attaining net zero goals, being a diverse, equitable and inclusive company; and exercising the governance. We have shared our commitment to environmental, social and governance issues through the issuance of our first sustainability report in early February. Although much of the work isn’t new, we are proud to establish a solid ESG reporting baseline and we will work to improve both our performance and disclosure in the coming years. And lastly, I’m keeping the strategic comments on this call fairly short. As we look forward to hosting our 2022 Investor Day next week on Wednesday, March 16 at 10 Am Eastern, we are excited about our prospects and future and anticipate sharing more about our vision, capabilities and team with everyone on the webcast. And now, I will turn the call over to Mike to discuss this quarter’s financial results in more detail. Mike?
Michael Bishop: Thank you, Jason, and thanks to those that joined our call today. You have heard from Jason about a number of significant developments that took place during our first quarter. And now I would like to spend a few minutes providing some details regarding our financial results for the first fiscal quarter of 2022. Please turn to financial highlights shown on Slide 7. In the first quarter of fiscal year 2022, we reported revenues of $31.8 million, compared to $14.9 million in the first quarter of fiscal year 2021, an increase of approximately 114%. Looking at revenue drivers by category, product revenues returned this quarter, totaling $18 million, reflecting the Ex Works’ delivery of six fuel cell modules to a subsidiary of POSCO Energy under the recent settlement agreement. Service agreement revenues decreased 56% to $2.2 million from $4.9 million. Revenue recognized in the first quarter of fiscal 2021 related to module exchanges at several plants and routine maintenance activities. The decrease in revenues for the first quarter of fiscal 2022 is primarily due to the fact there were no new module exchanges during the quarter compared to the prior year period. Revenue from service agreements is variable on a quarterly basis depending on the number of module exchanges in the period. Generation revenues increased 53% to $7.5 million from $4.9 million in part due to the inclusion of the 7.4 megawatt LIPA Yaphank project in January 2022, and the 1.4 megawatt San Bernardino Renewable Biofuels project in July of 2021. In addition, generation revenues increased due to the higher operating output of the generation fleet portfolio as a result of investments in maintenance activities made in the prior year. Advanced Technologies contract revenues decreased 19% to $4.1 million from $5.1 million. Compared to the first fiscal quarter of 2021, Advanced Technology contract revenues recognized under the joint development agreement, or JDA, with ExxonMobil Research and Engineering Company, or EMRE, were approximately $1.4 million lower, offset by an increase in revenue recognized under government contracts of $0.3 million. As Jason mentioned, during the three months ended January 31, 2022, the company achieved the first technical milestone under the JDA. As a result, the company will receive a payment of $5 million. The company has not recognized revenue in connection with this milestone achievement as a result of our prior agreement with respect to a future potential demonstration project with EMRE, ExxonMobil’s Rotterdam refinery in the Netherlands. Under this agreement, we agreed to either make an investment in the amount of $5 million in the Rotterdam project or discount, EMRE’s purchase of the company’s fuel cell module and detailed engineering design for the Rotterdam project by the same amount. The company will continue to evaluate revenue recognition of this milestone achievement as project negotiations with ExxonMobil or a subsidiary thereof evolve. Gross loss for the first fiscal quarter of 2022 totaled $2.9 million compared to a gross loss of $3.6 million in the comparable prior year quarter. The decrease in gross loss is in part a result of revenue recognized in connection with sales of modules during the quarter to a subsidiary of POSCO Energy. In the quarter, the company realized lower service margin due to no new module replacements occurring in the quarter, $3 million of non-recoverable costs related to the construction of the Toyota project and a $1 million asset impairment charge related to a legacy conditioning facility at our Danbury, Connecticut headquarters. Operating expenses for the first fiscal quarter of 2022 increased to $41.9 million from $10.8 million in the first quarter of 2021. Administrative and selling expenses in the first quarter included $24 million of non-recurring legal fees associated with the settlement of the POSCO Energy proceedings. Excluding these fees, the increase in administrative and selling expenses related to higher sales and marketing and consulting costs, as the company is investing in rebranding and accelerating its sales and commercialization efforts, and an increase in compensation expense resulting from an increase in headcount. Research and development expenses of $5 million during the quarter reflect increased spending on the company’s hydrogen commercialization initiatives compared to the prior year period. The loss from operations totaled $44.8 million in the first quarter of 2022, compared to $14.4 million in the comparable prior period. Net loss was $46.1 million in the first quarter of 2022 compared to $46 million in the prior year period. Both periods were impacted by non-recurring expenses. The first fiscal quarter of 2022 was impacted by the previously mentioned non-recurring legal expense of $24 million associated with the settlement of the POSCO Energy proceedings. The first quarter of 2021 was impacted by charges associated with a change in the fair value of a warrant liability issued to a legacy lender under a now extinguished credit agreement totaling $16 million. Additionally, the first quarter of 2021 included a loss on extinguishment of debt and a loss on extinguishment of a preferred stock obligation of subsidiary totaling $12.1 million. Interest expense was also lower in the first fiscal quarter of 2022, compared to the first fiscal quarter of 2021. The net loss per share attributable to common stockholders in the first fiscal quarter of 2022 was $0.11, compared to $0.15 in the comparable prior year quarter. The lower net loss per common share reflects a lower net loss attributable to common stockholders, despite the $24 million, or approximately $0.07 per share of non-recurring legal expense associated with the settlement of the POSCO Energy proceedings. The lower net loss attributable to common stockholders was partially offset by a net loss allocated to non-controlling interests totaling $5.5 million for the LIPA Yaphank project tax equity financing transaction, or approximately $0.01 per share. There was no comparable net loss for the prior year as the LIPA Yaphank project tax equity transaction closed, and the project began operating in the first quarter of fiscal 2022. The lower net loss per share was also a result of higher weighted average shares outstanding due to share issuances since January 31, 2021. Adjusted EBITDA totaled negative $13.6 million in the first fiscal quarter of 2022, compared to adjusted EBITDA of negative $7.4 million in the first fiscal quarter of 2021. Please see the discussion of non-GAAP financial measures, including adjusted EBITDA in the appendix of the slide presentation or in the appendix at the end of our earnings release. Next, please turn to Slide 8 for additional details on our financial performance and backlog. The chart at the left-hand side of the slide graphically shows the numbers we just reviewed for the first quarters of fiscal years 2021 and 2022. Looking at the right-hand side of the slide, we finished the quarter with a backlog that was approximately 3% higher year-over-year at approximately $1.31 billion, reflecting continued project build execution and adjustments to our generation backlog and the addition of product sales backlog from the module order from a POSCO Energy subsidiary, module exchanges with higher future output and expected revenues, and the inclusion of the 2.8 megawatt project in Derby, Connecticut, which was awarded in fiscal year 2021. Advanced Technologies backlog reflects new contracts from the U.S. Department of Energy, partially offset by work performed under our joint development agreement with EMRE. Turning to Slide 9, I would like to bring some perspective to the company’s enhanced liquidity and continued investments in our project assets. In the first fiscal quarter of 2022, we closed a tax equity financing transaction with a subsidiary of Franklin Park for our LIPA Yaphank project, which delivered $12.4 million in gross proceeds to FuelCell Energy. As of January 31, 2022, we had total cash and cash equivalents of approximately $405.4 million. This includes approximately $377 million of unrestricted cash and cash equivalents, represented by the darker blue bar on the chart in the center of the slide, and $28.5 million of restricted cash and cash equivalents represented by the lighter blue bar. On the right-hand side of the slide is a chart illustrating our total project assets, which make up our company-owned generation portfolio. We continue to develop, construct and grow our portfolio project assets. investments to date reflect capital spent on completed operating projects, as well as capital spent on projects currently in development and construction. At the end of the first quarter of fiscal year 2022, our gross project assets totaled approximately $256.1 million, which excludes accumulated depreciation. As detailed on Slide 18 in the appendix of this presentation, our generation portfolio totaled 75.3 megawatts of assets as of January 31, 2022. This includes 41.4 megawatts of operating assets and 33.9 megawatts of projects in process. As projects in process begin commercial operation, they are expected to contribute higher revenue. Additionally, as these projects in process reach mechanical completion and/or achieve commercial operation, we expect to see long-term tax equity financing, such as the example I previously discussed, as well as back leveraged debt transactions to further recycle capital back into the business. We are pleased with the continued progress being made. And from a financial perspective, we believe we are well positioned to invest in capabilities to support the future growth and product commercialization opportunities. I will now turn the call back over to Jason to further discuss these initiatives.
Jason Few: Thanks, Mike. On Slide 11, I want to share some highlights of our recently updated Powerhouse Business Strategy to take us to the next phase of the company’s journey towardS long-term growth; grow, we want to pursue growth in markets and customer segments where we see significant opportunities; scale to achieve growth, we plan to scale our existing platforms by investing in extending and deepening our leadership and total human capital across the organization; and innovate, over our 50-year history, we have never stopped innovating. We plan to continue to innovate for the future to enable our participation in the growth of the hydrogen economy and carbon capture and to deliver on our purpose. Our Powerhouse Business Strategy has evolved to focus on growth, the energy transition is happening at an accelerated pace, and we believe our platform technologies will play a significant role in helping the global society achieve our collective sustainability goals. Thus, we are moving forward with making investments in capacity, capability and global talent, which we believe will enhance our ability to capture more of the market opportunity over the coming years and deliver enhanced shareholder returns over the long run. Looking at Slide 12. I’m proud of the progress we’re making as an organization, including the recent launch of our new brand identity. Evolving the FuelCell Energy brand is intended to be a signal to our customers, communities, team members and you our stockholders of our absolute commitment to enabling a safe, secure and practical approach to realize and the goals set forth in our inaugural sustainability report. Our brand encompasses our purpose, what we do and how we do it. We are focused on enabling a safe, secure and practical path to carbon zero. And we help to decarbonize power and design and build fuel cells that produce hydrogen. Three design points define the new identity. First, it represents the journey we are helping our customers take the carbon zero. The designs used to gradients signals the journey our customers are taking to carbon zero. Additionally, the reductive footprint of the broader design system reinforces how frictionless adoption of clean energy can be. Second, it takes inspiration from our DNA. Fuel cells don’t combust their fuel, but are fuel flexible in that they can run on biogas, renewable natural gas, hydrogen and natural gas blends, natural gas or a mixture of those fuels and hydrogen. In all cases, the fuel cell produces a chemical reaction, which results in electricity. The design of the logo was inspired by the bonds between the molecules that are broken and formed in the chemical reaction in our fuel cells. It’s letters form incorporate FCEL, our stock ticker symbol. And if you look closely, the logo also forms a zero, representing our customers’ journey and ours toward net zero. It is also an integral part of our commitment to global net zero goals. On Slide 13, we highlighted the successful launch of operation of our 7.4 megawatt LIPA Yaphank project. This project can power approximately 7,500 homes, situated on a landfill that is being transitioned to a clean energy park, the FuelCell delivers to Long Island the benefits of our distributed power solution, namely clean and resilient baseload power and improved air quality versus conventional power generation sources, and reduces Long Island’s dependency on transmission and the incremental investment required to build new long-distance high-voltage transmission lines. This project has been added to our generation portfolio and we are working to complete the capital structure that will allow us to return significant capital back to FuelCell Energy while also providing increased recurring revenue and margin going forward. Turning to Slide 14. I encourage you to download and review our sustainability report that I mentioned earlier. This inaugural sustainability report is meant to outline how we fulfill our corporate purpose by actively managing environmental, social and governance risk. Our active focus on diversity, equity and inclusion and opportunities, material to our business and stakeholders. In fulfilling our corporate purpose, we find ourselves in the enviable position of helping customers achieve their own sustainability goals by reducing their Scope 1 and 2 emissions and enhance the communities in which they operate through improved air quality, more efficient land use than intermittent resources and generating local tax revenues. Additionally, we have committed to a net zero target for our Scope 1 and 2 emissions by the year 2030 and to net zero by 2050 for our Scope 3 emissions. And before I open the call to questions, I wanted to remind everyone one last time that on Wednesday, March 16 at 10 Am Eastern Time, we will host a Virtual Investor Day to give a deeper explanation of our strategy and our plans to bring new technologies to market. We are excited to share our thoughts on topics such as the company’s long-term growth opportunities and strategy, business execution, capital allocation priorities, global team and plans to drive long-term shareholder value. You can register for and view the Investor Day presentation by accessing the link on the Events Calendar on the Investor page of our corporate website. We welcome your participation. With that, I will now turn it over to the operator to begin Q&A.
Operator: [Operator Instructions] Our first question comes from Jed Dorsheimer with Canaccord Genuity. Your line is open. Jed Dorsheimer, your line is open.
Jed Dorsheimer: Sorry, I had it on mute. Hey, thanks for taking my question. The – just around ExxonMobil, that seems to be a – I was wondering if you could provide more details in substance to the breakthrough, is that clearly sounds like could be game changing between blue versus gray and green hydrogen? So that’s my first and then I have a follow-up.
Jason Few: So, Jed, good morning. Thanks for joining the call. This is Jason. With respect to Exxon, the work that we’re doing with them is really focused on carbon capture. And our platform has the ability to capture carbon from an external source and also produce and deliver hydrogen. So the work that we’re doing, and our focus is on ensuring that we maintain optimal performance from a power output standpoint, as well as optimal performance in terms of our ability to concentrate carbon and capture that carbon for whatever the use may be, whether that be sequestration and or utilization. So as we’ve laid out the work plan with ExxonMobil Research and Engineering, we set a number of milestones that are really – you can think about them as mile markers. And those mile markers give clear indication that we’re progressing along the things that we think are most technically important to demonstrate that the technology will perform at a level that will do a few things: one, that we will efficiently concentrate capture and separate carbon; two, that we will maintain power, density, or power production; and three, that we can do that efficiently across a number of different blue streams, which give us the ability we believe to ultimately deliver a much lower cost of carbon capture as a result of being able to sell power and/or replace power that’s being used at that particular facility. And so this – achieving the milestone is just another mile marker along the way to demonstrate that our technology actually has the ability to be effective in carbon capture.
Jed Dorsheimer: Got it. And then I guess there’s my follow-up and perhaps a bit of an extension here. So far in the U.S., it’s been – the commercialization has been slower, I guess, would probably be the right adjective. And you’re now looking at kind of a pivot or expansion, I guess, into the Korean markets. One of the issues in the U.S. has been the sort of an adoption of green hydrogen, or the use of electrolysis, and maybe you correct me if I’m wrong in that assumption. And I guess that’s why I was asking with respect to the ExxonMobil. And as you look at Korea, there seems to be sort of a broader understanding of the use of gray and blue. Is there something else that’s going on in terms of that expansion into Korea that seems to be – is that – do you see that as a more favorable nation, if you will, or region for your technology and/or do you see with what’s coming out of the ExxonMobil a rethink in the U.S. that may shift some things around?
Jason Few: So Jed, no great question. So we believe that both Asia and Korea specifically, as well as Europe is ahead of where the U.S. today is today with respect to announcements on projects around hydrogen. However, that being said, we do think that the current infrastructure package and the $8-plus billion that have been announced in support of these hydrogen hub projects are a good indication of the U.S. intent to try to catch up, if you will. But in Korea, we are excited about the opportunity, because as you know, over the last six years, we’ve effectively been out of the largest fuel cell market in the world. Now with the settlement and our ability to be back in that market in a way in which we can actively pursue opportunities, we think that our platform, our existing carbonate platform is well positioned, because those projects in Korea tend to be large-scale utility projects that actually also have a need for the high-grade heat that our platform provides, which is also a differentiation between us and other fuel cell players. And so if you look at our one of our projects in Korea that exist today, it’s a 20 megawatt project that is grid connected and then also connected to the district heating system where we provide high-grade heat for that. And so on a core business platform, we’re excited about the opportunity, and we think we’re well positioned to go after market to more utility scale projects in that market. With respect to hydrogen, the government has announced a very robust set of objectives around hydrogen. And we think that gives us an opportunity not only on our trigen platform, but also the work that we’re doing to commercialize our solid oxide technology, because we think hydrogen is going to be an important part of the energy economy on a go-forward basis in Korea. And so we are very optimistic about that. And then when you think about one of the early adoption opportunities around hydrogen utilization, being mobility applications just like Toyota here in the United States and in Japan, Hyundai in Korea is also very committed to fuel cell electric vehicles. So we think that there’s a demand that’s being created for hydrogen in that market beyond just the government programs there that we think are going to play well for our overall market opportunity in Korea. And then if you just kind of ladder up and broadly look at it, if you think about what the hydrogen Council has put out there, between if you look at hydrogen production, investment needed for transmission and distribution, although we think our distributed capabilities can help mitigate some of that, and the end use applications, I mean, you’re talking about the hydrogen Council suggest over $700 billion in investment by 2030 against those three categories. And so – and we think Asia and Europe are going to lead in that regard. And so we’re excited about the opportunity to the remove the cloud that we had across the Asian markets.
Jed Dorsheimer: That’s helpful. I’ll jump back in queue and look forward to the Analyst Day.
Jason Few: Okay, great. Thank you.
Michael Bishop: Thanks, Jed.
Operator: Our next question comes from Colin Rusch with Oppenheimer. Your line is open.
Colin Rusch: Thanks so much, guys. Can you quantify the exposure you have on natural gas prices relative to your PPAs? And how we should think about generation gross margins on a go-forward basis?
Michael Bishop: Good morning, Colin. This is Mike. So on our power purchase agreements, as far as natural gas goes, the way we think about that is kind of twofold. One, are – as you look at our portfolio today, for a large part of that portfolio, the off-taker is actually procuring natural gas. The – as we look at some of our larger projects, and for instance, the LIPA Yaphank project that came online this quarter, the company were – and there is fuel price exposure there, but what the company does in those examples is puts long-term contracts in place, so we actually have a seven-year fixed price agreement for that and and we’ll follow natural gas prices and continue to extend that when it makes sense in the future. So that’s really our strategy around mitigating increase in natural gas prices, Colin.
Jason Few: Yeah, Colin, just to add maybe a little bit to that, as a company where we do have gas exposure, right, we don’t take a fundamental view on gas prices. And so we work the hedge those risks off and we’ll continue to do that way and do that and we’ll leg in. As years pass, we’ll leg in more to limit that exposure. As you know, it’s challenging to go get a 20 -year long-term commitment on that gas, and may not even be a good decision to do that anyway. But we do have an active program around how we hedge to manage those risks.
Colin Rusch: Okay, great. I have a couple of other nuance questions. I will take offline on that. So moving forward towards the product backlog, with the existing finished goods inventory that you have, how much of that backlog can really be met with the existing configuration that you have in that finished goods back or inventory? Or there’s some developments that you guys need to bring forward on the technology to meet that backlog?
Jason Few: So Colin, you’re asking about our current backlog of projects, which equates to almost 34 megawatts in backlog is that you’re referring to?
Colin Rusch: With the product backlog that you guys have that you’re announcing the $60 million and – versus the existing inventory, if all of the inventory that you have on hand can actually be sold against that product backlog or if there’s product development that needs to happen to hit the spec for the orders that are in that backlog?
Colin Rusch: Colin, this is Mike. I’ll take that one. So as as you saw come through this quarter as a result of the settlement agreement that we put in place with POSCO Energy as part of that settlement agreement, POSCO Energy placed an order for 20 modules. We shipped Ex Works in the first quarter six modules that came out of finished goods inventory and recognized $18 million of revenue. So as – and that’s our current configuration – to answer your question around configuration. That’s our current configuration 1.4 megawatt modules. We will continue over the course of this year to build inventory to satisfy the balance of that commitment. So no, we don’t need to do any technology changes, no configuration changes. It’s our standard 1.4 megawatt modules to satisfy service needs of POSCO’s existing fleet in Korea.
Colin Rusch: Super helpful. Thanks so much, guys.
Michael Bishop: Yep.
Operator: Our next question comes from Mark Strouse with JPMorgan. Your line is open.
Mark Strouse: Yeah, good morning. Thanks for taking our questions. Just a follow-up to Colin’s question there. And I’m sorry if I’m missing this, but can you help me reconcile the six modules that you’ve delivered to POSCO already and the eight that you’re expecting over the balance of the year? How do I tie that with the 20 modules that you’re expecting from POSCO?
Michael Bishop: Sure, Mark. Good morning. This is Mike again. So the way the agreement with POSCO was structured was there’s essentially two orders that POSCO committed to affirm order, which was placed in January for the initial modules, and then they committed to placing a second order for the balance of the 20 by the end of June of 2022. So we would expect to see that second order by the end of June of 2022, per the settlement agreement, and we’ll deliver against both of those this year.
Jason Few: Yeah. So mark the initial order is 12, right, and we’ve shipped via Ex Works – are delivered to be Ex Works six of those. So the remaining eight will be ordered in June. But the expectation is in calendar year 2022, we will deliver all 20 of those modules to POSCO Energy/Korean Fuel Cell company, which is their subsidiary, that that’s actually taken delivery of our modules. The other thing I would just point out about that as you think about the market for us in Korea, with the settlement, and you think about the installed base in Korea that we have with our technology, through that settlement, we are the only source of providing those replacement modules on a go-forward basis. And so we expect that that will create additional opportunity for us over time, just on that book of business, if you will, alone.
Mark Strouse: Okay, and that’s helpful And actually, Jason, you started to answer my follow-up question there, just the ability to open up the rest of the Korean market outside of POSCO. I know it’s still early, but just qualitatively speaking, can you talk about any kind of inbound requests that you’re getting from customers outside of POSCO in that region?
Jason Few: Yeah, so if you think about our existing business in Korea and the business that POSCO had done in Korea, the customer in those markets are the GENCOs. So not really POSCO itself. They were – you can think about them as formerly a channel partner for us, if you will, in that market that had rights to sell and offer our solution across Asia. So those customers, the GENCOs, we are seeing interest from those GENCOs. And in fact our – we have a – we’ve been building out a sales team there now, which we didn’t have to have before because POSCO was our channel partner. And so we are actively engaged in real conversations about opportunity there. And because they tend to be larger projects, they are projects that take a little bit of time to develop. But you’re talking – the largest fuel cell platform in the world exists today, leveraging our technology in Korea, and it’s 59 megawatts, right? So these are large-scale projects. And so we feel pretty good about our technology to serve the GENCOs given megawatt scale, and the attractiveness of the high-grade heat that we can deliver off of our existing platform.
Mark Strouse: Great. Okay, that makes sense. Thank you very much.
Jason Few: Thank you.
Operator: Our next question comes from Laurence Alexander with Jefferies. Your line is open.
Laurence Alexander: Good morning. I may have missed this. Have you framed just how many megawatts of capacity are installed in Southeast Asia, where replacement modules could be needed in the next three, five years?
Jason Few: Yeah, so in Korea, with customers that were originally served, if you will, by POSCO Energy through our channel partnership, for lack of a better expression, there’s about 140 megawatts installed that fall into that category, that ultimately beyond what module replacement POSCO Energy may have already done, beyond the module replacement that the 20 modules that we are providing to POSCO Energy or Korean Fuel Cell company for a replacement. Ultimately, there will be most likely additional opportunity for module replacements for the rest of the installed base.
Laurence Alexander: And is the module replacement economics stable? That is can we use the POSCO agreement as a proxy for the future economics? Or is that – or how might that evolve over time?
Jason Few: I would think that over time, you could probably use that as a watermark. Because we would suspect that as time moves, you might see pricing move up or – but I would not suspect downward movement on pricing. But time will – time and market conditions will tell, but I would suggest maybe using that as a watermark today.
Laurence Alexander: Thank you.
Jason Few: Thank you.
Operator: Our next question comes from Leo Mariani with KeyBanc Capital Markets. Your line is open.
Leo Mariani: Hey, guys, I was hoping you could provide a little bit more information about the nature of the delays at the Toyota plant here. And then kind of what’s your best guess as to when you might be able to get this up and running? And then I guess, do you also have like an annualized revenue number, what you might see when that plant comes online?
Jason Few: Leo, good morning, and thank you for your question. With respect to the Toyota project, in Long Beach, California, that project as we indicated a little bit earlier, is in construction today, as we speak. The – that project we suspect that we will be in – delivery of that project is targeted in 2023 for delivery of that project, but we’ll see substantial work completed around the construction of that project in this calendar year. And so we feel good about where we are on project development for that project. We’ve not put out long-term revenue numbers yet on what our expectations are around that, that Toyota project. But it is under a long-term power purchase agreement both for the hydrogen for that project as well as we are under a tariff in California for the power.
Leo Mariani: Okay, that’s helpful for sure. And I guess just wanting to jump over to your 14 megawatt Derby Connecticut project that seems obviously very sizeable in the portfolio. Do you guys have a better sense of what roughly the in-service plan is there in terms of date, when that may come online?
Michael Lisowski: Yeah, Leo, thank you for the question. This is Michael Lisowski, Chief Operating Officer with FuelCell Energy. We have mobilized and launched the construction phase and site civil construction, as well as mechanical assembly of our Derby project. And we have made significant progress in equipment deliveries and mechanical assembly this year. In parallel with that work, we’re continuing to advance the electrical interconnection process that’s required for this facility to come online. So both of those, I’ll call it key milestone activities are continuing to advance well, and we’re moving that project forward in advancing it towards commercial operation, I would say, you can expect to see continued advancement of the project through the balance of the calendar year, and looking ahead to commercial operation in 2023.
Leo Mariani: Okay, so some kind of 2023 startup. Okay. That’s helpful. And then just on your Exxon JV, correct me if I’m wrong, but I think that was maybe scheduled to expire sometime in April, obviously, you hit a milestone recently. Is that in process of like being extended or reupped here? Can you tell us about that?
Jason Few: Yeah, so the current JDA 2, as we call it, is set to expire at the end of April. However, we are in discussions with Exxon about the next phase of what we do from both the development work that we’re doing, in addition to the prospects around the demonstration project in Rotterdam, which Exxonhas publicly talked about. So the way that you could think about it is the milestone that we hit, like I indicated earlier, is a mile marker that indicates that the technology can do the things that we need to be able to demonstrate that we can be effective in capturing carbon, as well as producing power at the same time. As a result of hitting that milestone, that gives us more confidence around the extended nature or opportunity that exists between us and Exxon. And as you know, I can’t speak for Exxon, but Exxon has created through their reorganization a separate business unit that’s called their low carbon business unit. And one of the aspects of that business unit is delivering carbon capture as a solution for their company. And so we will work very collaboratively with Exxon as we have done over the last, I believe, 10 years, we’ve worked together. And so we’re in the process of negotiating with the next phase of our development relationship looks like.
Leo Mariani: Okay, that’s helpful color. And then just lastly, you all did talk about expectations for other revenues outside of POSCO in South Korea. Would you expect those to be significant here in fiscal year 2022, or you think that’s more of a fiscal year 23 item?
Jason Few: Just in terms of the time it takes on these projects, and even if you get an order of 60 days from now, right, to be able to put that order into our production schedule, ship a project, do all the permitting, all the things that you need to do the construction around that project, you should probably think about that more as a 2023 than 2022 in terms of actually being able to realize revenues around that.
Leo Mariani: Okay. Thank you, guys.
Operator: [Operator Instructions] Our next question comes from the line of Chris Souther with B Riley. Your line is open.
Christopher Souther: Hey, guys, thanks for taking my question here. Can we maybe talk a little bit about the Scotford project in Canada? Maybe just of those three joint owners you’re working with, who you’re working with the most in development there? I want to get a sense of how this could develop more future opportunities to collaborate with any of – any or all of Canadian Natural Resources, Chevron or Shell, would be great?
Jason Few: Chris, good morning, and thank you for your question. I’ll ask Tony Leo, our Chief Technology Officer to speak about the project and the work that we’re doing with all of the partners that are engaged on this opportunity.
Anthony Leo: Yeah, you’re right, it is a consortium of different oil sands companies, including some support from some Canadian government entities. The lead for the project is Canadian Natural, CNRL. And so there our principal contact there, it is a Shell Upgrader that is jointly owned between Shell and CNRL, and a few others, but it’s operated by Shell. But our prime – the leader of that consortium is CNRL.
Christopher Souther: And maybe Tony, you can just very quickly describe the carbon capture that will actually demonstrate from the upgrade facility itself.
Anthony Leo: Yeah. And so one way to think about that is that as we work on optimizing the performance of our – of ourselves in our stacks for carbon capture with ExxonMobil, and just improving the technology, in general, we do have a technology, the units that we make today in our Torrington factory are capable of doing carbon capture. And those units can be suitable to do certain projects that have a very high CO2 value or power value, or demonstration projects. And this is a demonstration of capture from some of the process heaters in that upgrade facility, which will be capturing CO2 from these process heaters as opposed to, say, a power plant or something like that. It’s a good demonstration opportunity. There are a variety of different options that they’re looking at, for what to do with the caption CO2. Also, there will be more to come on that, but it just happens to be a – it’s a prime focus, decarbonizing the oil sands industry in general, and they view this as a really attractive way to do that.
Christopher Souther: Got it. That’s great to hear from all of you. Thanks, guys.
Jason Few: Thank you.
Operator: Our next question comes from Praneeth Satish with Wells Fargo. Your line is open.
Praneeth Satish: Thanks. Good morning. Just want to give us an update on your gross margin expectations for the year. I guess how much of the gross margin in Q1 was kind of weighed down by the inflationary pressures that we’re seeing? And I guess, when do you expect gross margin to turn positive? Just any commentary around margins would be helpful?
Praneeth Satish: Sure, this is Mike. Thank you. Good morning, and thanks for joining the call. So I’ll provide a couple of comments around gross margin. And really in the first quarter, it really wasn’t weighed down by supply chain issues or cost pressures. We generally have long-term contracts in place for our materials. But a couple of things coming through gross margin that I would highlight. On the product side of the business, we did have a $1 million impairment charge, as well as about $2 million of variances and absorption costs when you back that out of product. And these are disclosed in our 10-Q and you back that out of product, you’d see around a 16% margin on the sales of those modules. Also on generation, we have non-recoverable costs coming through related to the Toyota projects of about $3 million. And there’s, as we disclosed, there’s also depreciation expense that comes through the generation portfolio. So we like to look at the generation portfolio on an EBITDA basis. And when you take those two numbers out, you’re looking at about a 45% EBITDA margin on the generation portfolio. And we’ve said historically, that we target 45% to 50% EBITDA margins there. So those are the comments that I’d make around our Q1 margins, and we do not put out annual targets around margins or guidance.
Praneeth Satish: Got it. No, that’s helpful. And then, just my second question here is just if you could give us an update on your solid oxide commercialization progress, I guess, where’s that stand today? And then, and where do you expect that to be most meaningful in terms of industries applications? I mean, you mentioned in South Korea, it’s more going to be your carbonate platform. So where do you expect the most success on the solid oxide side?
Jason Few: Praneeth, hi, this is Jason, and then I’ll also ask Tony maybe to comment on this as well. We’ve now demonstrated a couple of different things with our solid oxide technology. We’ve demonstrated the ability to have an efficiency, electrical efficiency of 92-plus percent. So in other words converting electricity and water and into hydrogen. We are working on a project and we’ll do another demonstration where we’ll show this year in working with Idaho National Labs from a nuclear application standpoint to show leveraging nuclear power and waste heat to be at 100% electrical efficiency. And so we are very actively advancing the commercialization of that platform. And as we’ve indicated, even on our last quarter call, we now, given the strengthening of our balance sheet, we are making more investments in that commercialization effort than we have historically. We think that the efficiency that we have, given that we’re a high temperature fuel cell, the architecture that we’ve chosen to leverage in our design, gives us some advantages, as it relates to efficiency. So as we think that as you look to long duration energy storage applications, the efficiency of our platform will play quite well in that type of an application. Given the size and distributed nature of the platform, we believe, whether you’re talking about producing hydrogen, that’s gray, blue or green, the ability to deploy our platform with high efficiency can be used in a number of different industrial applications, including things like manufacturing of steel, or cement, provide the heat values that you need. So we believe, overall, that hydrogen has the ability to be either a replacement or additive to all of the work that’s going on around clean fuels, in particularly around the hard to electrify heavy industrial type opportunities. And we think that will play quite favorably there, given the efficiency of our platform. And, Tony, I don’t know if you would add anything else.
Anthony Leo: Yeah, the one thing I would add is that our focus has been developing a solid oxide platform that is versatile, and that can address power generation applications, electrolysis applications in energy storage, and we demonstrated the power generation application a couple of years ago, actually, in a field trial that we did in Pittsburgh. We demonstrated the electrolysis, as Jason mentioned, that our labs in Danbury and later this year at INL. And if you think about this high-efficiency electrolysis, the high-efficiency power generation, combine those together with stored hydrogen, and then you’ve got a really effective energy storage system. So we’re pretty happy with where we are in the technology facade side right now.
Jason Few: And then Praneeth, I’d like to just go back to one thing that you also said. As it relates to Korea, beyond our carbonate platform, which we see as a more immediate opportunity, right, we also believe that our solid oxide technology has an opportunity to compete very effectively in that market as well as we commercialize that technology. So today, if we look at things that are on this shelf, that’s our carbonate platform, but we absolutely see opportunity for our solid oxide business in Korea as well. The government has a very strong commitment, publicly stated commitment to making hydrogen a big part of the energy economy there.
Praneeth Satish: Got it. Thank you.
Operator: Our next question comes from Eric Stine with Craig-Hallum. Your line is open.
Eric Stine: Hey, good morning. I’ll just sneak one in here at the end. I might have missed it. Just curious if you maybe this is something you wait for the Investor Day next week. But just curious if you would update to the targeted breakeven megawatt level for the generation portfolio?
Michael Bishop: Good morning, Eric. This is Mike. So a little bit of color on the generation portfolio. This quarter, we finished commercial – or we finished construction and entered commercial operation for the LIPA Yaphank project, that brings the operating portfolio to 41.4 megawatts. If you look at what we have in backlog for the balance of the portfolio, it’s another 33.9 megawatts, all up and running when these projects are built over the medium-term, that’ll bring the total portfolio to 75 megawatts. As far as revenues, last year, we had about approximately $24 million of revenues come through the financial statements related to the generation portfolio that will obviously grow with the life of project coming online and other assets as they come online. We haven’t really put out a breakeven target. But what we’ve – what we said, as I said in one of my earlier responses, is we do target EBITDA margins for the portfolio in the 45% to 50% range is really what the company targets.
Eric Stine: Got it. I think in the past, you’d given a 50 megawatt kind of level. I mean, and I know that there was some dependence on what your level of product sales would be as well. But I guess it seems like that’s a number that probably is fairly appropriate, all things considered?
Michael Bishop: So yeah, I see where you’re going with the questioner. So one of the reasons why the company strategically went down the path of building out this portfolio was to have a portfolio of long-term contracts. And if you look at the average life of these contracts, it’s over 15 years, right? With Tier 1 customers, that will be producing recurring revenues and cash flows for a long period of time, which obviously helps the the EBITDA profile of the company. Now with product sales online – coming back online as well, that improves the profile, obviously, because we’ll get gross margin from those sales. So we really haven’t put out a target that says okay, if we do 50 megawatts a year of production, the company is either gross margin or EBITDA, EBITDA positive. But as we continue to grow mature, have a larger backlog, we’ll look at putting out some of those guideposts again in the future.
Eric Stine: Okay, thank you.
Jason Few: Yep.
Operator: We have run out of time for Q&A on today’s call. I’ll turn the call back over to Jason Few for closing remarks.
Jason Few: Chantelle, thank you. Thank you again for joining us today. We will continue to execute on our Powerhouse Business Strategy, working to deliver growth and optimize returns. The FuelCell Energy team is excited about our work to deliver on our purpose of enabling a world empowered by clean energy. And we are excited to deepen the understanding of the company’s platforms, opportunities and priorities next week during our Investor Day. Finally, I again want to offer our prayers and support to the people of Ukraine and all of those impacted. Thank you for joining and have a great day.
Operator: This concludes today’s conference call. You may now disconnect.